Operator: Hello, and welcome to the Equifax First Quarter 2022 Earnings Conference Call and Webcast. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to John Gamble, Chief Financial Officer. Please go ahead.
John Gamble: Thanks and good morning. Welcome to today's conference call. I'm John Gamble, Chief Financial Officer. With me today are Mark Begor, Chief Executive Officer; and Trevor Burns, Head of Investor Relations. Today's call is being recorded. An archive of the recording will be available later today in the IR Calendar section of the News and Events tab at our IR website, www.investor.equifax.com. During the call today, we will be making reference to certain materials that can also be found in the Presentations section of the News and Events tab at our IR website. These materials are labeled Q1 2022 Earnings Conference Call. Also, we will be making forward-looking statements, including second quarter and full year 2022 guidance to help you understand Equifax and its business environment. These statements involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from our expectations. Certain risk factors that may impact our business are set forth in our filings with the SEC, including our 2021 Form 10-K and subsequent filings. We will also be referring to certain non-GAAP financial measures, including adjusted EPS attributable to Equifax and adjusted EBITDA, which will be adjusted for certain items that affect the comparability of underlying operational performance. These non-GAAP measures are detailed in reconciliation tables, which are included with our earnings release and can be found in the Financial Results section of the Financial Info tab at our IR website. As a reminder, in the fourth quarter of 2021, we eliminated our GCS operating segment and moved its lines of business into Workforce Solutions, USIS, and international in Canada and Europe. As a result, Equifax now has three operating segments. You can find reconciliations of our 2020 and 2021 prior business unit operating segment results to this new structure in the 4Q '21 earnings release Q&A. Equifax has a non-controlling ownership interest in a Credit Bureau in Russia. We are providing no operational or financial support to the company. In the first quarter, we wrote off our investment and reflected a $19.5 million one-time charge. And beginning with the first quarter of 2022, we are no longer reflecting income from the venture. Also in the first quarter, Equifax deposited the remaining balance of $345 million into the restitution fund for the U.S consumer class action settlement. Now, I would like to turn it over to Mark.
Mark Begor: Thanks, John. Equifax is off to a very strong start in 2022 and delivered a record $1.36 billion of revenue which was up 12% and well above the levels we discussed with you in February. We continue to execute very well under delivering strong core revenue growth while delivering on our key EFX 2023 strategic initiatives. However, as we look to the remainder of 2022, we are reducing our full year financial guidance reflecting the likelihood of a much more substantial decline in the U.S mortgage market than we expected in February. Over the past several months, mortgage rates have increased more rapidly and expected with the 30-year mortgage rate reaching over 5% last week, a 10-year high. And there's increased expectation for further increases in U.S interest rates as we move through 2022 as the Fed manages record levels of inflation. As a result, our guidance now reflects the likelihood of a much more rapid and significant decline in mortgage originations than we expected a few months ago. With U.S mortgage credit inquiries for the -- over the last 9 months of '22, declining on the order of 37.5% or 38%. Over the last half of 2022, we expect U.S mortgage credit inquiries to be down 40%, which we believe is equivalent to mortgage originations being down more than 40% and is in line with most market forecasts including NBA and Fannie Mae. This level of mortgage market credit inquiries over the last half of 2022 is approaching 25%, below the 5-year average levels we saw prior to the beginning of the pandemic in 2020 and also pulls forward the mortgage market declines we had expected in 2023 into 2022. U.S mortgage credit inquiries in early April are beginning to show some of this weakening and are at levels somewhat weaker than we saw in the first quarter, but are not anywhere near the levels of decline we've included in our guidance. However, given the recent substantial increase in mortgage rates and expectation for further rate increases, high inflation and the war in Ukraine, our guidance reflects the much higher likelihood of a more significant decline in U.S mortgage market as we move through the second quarter, and continued significant sequential declines as we move through the balance of the year. We thought it was prudent to de-risk our guidance for the mortgage market and pull forward from 2023 the normalization of the mortgage market into '22. For the full year, this results in U.S mortgage credit inquiries being down about 33.5% for the year, which is almost 10% below the 5-year average levels we saw prior to the beginning of the pandemic and 2020 and about 12 percentage points below the 21.5% decline in our February guidance. For the balance of the year, this equates to a 37.5% reduction versus the same period in 2021. And as I mentioned earlier, a run rate of 40 -- minus 40%, which is 25% below the 5-year pre-pandemic levels in the latter parts of 2022. The impact on our revenue guidance of this additional 12% reduction in the mortgage market is over 350 basis points or over $175 million. We expect to offset just under half of the mortgage revenue declined with stronger core revenue growth that will now exceed 17% from stronger workforce solutions performance and NPI rollouts, which is an increase of about 150 basis points or $175 million for the year. Broadly, Equifax is operating very well with our first quarter core growth of 21%. Together this results in a reduction in our full year revenue guidance by $100 million to a midpoint of $5.2 billion, which is still up a solid 6% after absorbing an over $500 million decline from the mortgage market. The $100 million reduction in revenue and the elimination of income from our non-controlling interest in our Russian joint venture of $0.12 a share, drives our guidance for EBITDA margin expansion in '22 to about 125 basis points increase, but a reduction of 50 basis points from our prior framework. This also results in guidance for our adjusted EPS to a midpoint of $8.15 a share or reduction of $0.50 per share. As I mentioned, at these levels, we still deliver solid '22 revenue growth of 6% and adjusted EPS growth of 7% despite a significant mortgage market decline impacting our revenue by almost 10.5 points, or over $500 million. Our ability to deliver 17% core revenue growth reflects the underlying breadth, depth and strength of the Equifax business model, and is well above our new long-term growth framework of 8% to 12%. John will provide more details on our view of the mortgage market and our guidance shortly. Turning to Slide 4, the first -- in the first quarter, we delivered revenue and adjusted EPS above the high end of our guidance range. Revenue at $1.36 billion was up 12% with our organic constant currency growth of 8%, and was the highest quarterly revenue in our history, and our ninth consecutive quarter of double-digit revenue growth. This was delivered despite a U.S mortgage market or credit inquiries were down 24.5% in the in the quarter about as expected. Core revenue growth of 21% and core organic revenue growth at 17% were both very strong and well above our new long-term financial framework. Our growth was again powered by our U.S businesses Workforce Solutions and USIS. In total, Workforce Solutions and USIS generated $1.08 billion in revenue, almost 80% of Equifax total revenue, with 14% total and 7.5% organic revenue growth, again, despite the 24.5% decline in the U.S mortgage market inquiries. Non-mortgage U.S revenue represented over 60% of total U.S revenue and delivered growth of over 32% total, with organic growth of just over 18%. International also delivered strong revenue growth of 10% in local currency, above the high end of their long-term framework of 7% to 9%. First quarter adjusted Equifax EBITDA totaled $484 million, up 12% and EBITDA margins of 35.5% were in line with our expectations for the quarter. Adjusted EPS at $2.22 a share was up a strong 13% from last year and above the guidance of $2.08 to $2.18 we provided in February, driven by strong revenue growth and progress in realizing the benefits of our cloud technology transformation. We continue to accelerate our EFX cloud data and technology transformation in the quarter, including migrating approximately an additional 10,700 customers to the cloud in the U.S and approximately 1,500 customers internationally, as well as decommissioning two significant data centers this month. As you may have also seen, we recently issued our second annual security report, which is another important illustration of our ESG commitment and the power of our EFX cloud transformation and cloud technology and data transformation. In 2018, we committed that Equifax will become an industry leader in security. Our latest report highlights our investments in market leading cybersecurity capabilities and talent that enable us to detect and respond to threats with more speed and precision. We view our leading security capabilities as another competitive advantage for Equifax. Leveraging our new EFX cloud infrastructure, we continue to accelerate new product innovations. In the first quarter, we released about 30 new products continuing momentum from 2021 where we launched a record 151 new products. We're seeing increasing commercial traction and revenue generation from these new products leveraging the new Equifax cloud. In the quarter, our vitality index defined as revenue from new products introduced in the last 3 years exceeded 12%. This is over a 300 basis point improvement from our 900 -- 9% vitality index last year, and the highest level for Equifax in the last decade. For 2022, we now expect a vitality index of over 11%, up 100 basis points from the 10% guidance we provide in February -- we provided in February, which will fuel our growth in 2022, 2023 and beyond. In the first quarter, we invested our strong free cash flow in two strategic bolt on acquisitions, with a focus on accelerating growth in Workforce Solutions with the acquisition of Efficient Hire and expanding our geographic footprint with the acquisition of Data-Credito, the largest Credit Bureau in the Dominican Republic. Bolt on acquisitions that broaden and strengthen Equifax are strong leverage to accelerate our growth and are central to our long-term growth framework to add 100 to 200 basis points to our revenue growth from strategic bolt on acquisitions. Even facing the macro mortgage market headwinds, we are energized by our strong start to 2022 and are clearly seeing the momentum from our EFX 2022 growth strategy leveraging our new EFX cloud capabilities. Turning now to Slide 5. In the first quarter, Equifax core revenue growth, the green sections of the bars, grew very strong 21% which was above our expectations and substantially above our long-term framework -- financial framework of 8% to 12%. Core organic revenue growth of 17% in the quarter was also substantially above the long-term framework. Non-mortgage growth in EWS and international as well as the U.S drove about two-thirds of our core organic revenue growth in the quarter. Strong 27% core mortgage outperformance in Workforce Solutions drove the remaining third of first quarter core organic revenue growth. With our strong 21% core growth in the first quarter, and accelerating NPI rollouts, we now expect 2022 core revenue growth of over 17%, which is up about 150 basis points from our February guidance and 250 basis points from our original 2022 framework. This is driven by broad base strong performance across Workforce Solutions, as well as strength in international, Kount Identity and Fraud, Appriss Insights and accelerating NPIs. As detailed on Slide 6, core mortgage revenue growth in first quarter was up a very strong 17%, driven by Workforce Solutions with their core mortgage revenue growth of 27% and 2% of USIS. Due to the strong core revenue growth, our first quarter mortgage revenue was down only 7% despite the 24.5% decline in overall U.S mortgage market. Core mortgage growth of 27% at Workforce Solutions was consistent with our guidance in February and driven by twin record additions, new products, increased system-to-system integrations and increased penetration. Turning to Slide 7. Workforce Solutions continues to deliver outstanding core revenue growth, delivering over 40% growth for the fourth time in the last five quarters. This is very strong performance is driven -- this very strong performance is driven by Workforce Solutions, consistent execution across their key growth levers. First, growing the work number database. As we mentioned in February, we signed three new exclusive arrangements with large payroll processors late last year that we expect to implement starting in the second quarter. And we signed another new exclusive payroll processor agreement last month that we expect to also bring on board in 2022. We ended the quarter with 135 million total current records, which was up 19% from last year. There are 104 million unique individuals deliver high hit rates and represent about 65% of U.S nonfarm payroll. The flat sequential performance from year-end was also very strong as we offset reductions of approximately 3 million records from the normal seasoning hire declines from the fourth quarter with new record additions. As of today, we're already back to over 136 million records as we have begun boarding records from one of the new exclusive payroll processor agreements we signed late last year. And as a reminder, almost 50% -- 55% of our records are contributed directly by individual employers. Second, EWS's increasing penetration in their key verticals of mortgage, talent, government and consumer finance, with all four verticals having significant opportunity for continued expansion by leveraging our expanded data hub strategy for the fast-growing talent and government markets driving over 80% core growth in these verticals. Third, EWS is delivering increased average revenue per transaction through both higher value new product rollouts and increasing the value or pricing of existing products by expanding the depth and breadth of our data coverage. And finally, Workforce Solutions expanding their system-to-system integrations. Currently more than 75% of our mortgage transactions are system-to-system, up over 2x from 2019. As you know, we get a 20% plus lift in mortgage polls when we convert our customers from the web to system integrations. In talent solutions, system-to-system now represents more than 80% of our transactions. And last, Workforce Solutions continues to add capabilities in records through strategic bolt on acquisitions. Over the past 2 years, we've completed five bolt on acquisitions supporting EWS growth, including Appriss Insights last fall and Efficient Hire a few weeks ago. The strength of Workforce Solutions and unique system value of their twin income and employment data was clear again in the first quarter. Rudy Ploder and EWS team delivered another outstanding quarter with 33% revenue growth, well above their 13% to 15% long-term framework and are positioned to deliver a very strong '22 and continue above market growth in the future. Turning to more details and Workforce Solutions on Slide 5, another exceptional quarter delivering record revenue of $649 million, their first quarter above $600 million. Revenue growth was up a very strong 33% with organic revenue growth of 20% despite the significant decline in the U.S mortgage market. Core revenue growth was a very strong 45% in the quarter with core organic revenue growth of 34%. Non-mortgage is now 60% of Workforce Solutions revenue, delivering organic growth of over 30%. Verification Services revenue was over $500 million for the first time, with strong growth driven by non-mortgage verticals that represent almost 50% of Verifier revenue and delivered 90% total and 50% organic growth. The inorganic growth was driven by the acquisition of Appriss Insights that performed very well during the quarter, driven by higher volumes, product penetration and new customer wins. Talent and Government Solutions, which now represent 30% and almost 40% of Verifier non-mortgage, respectively, both had outstanding quarters and combined were up a very strong 100% total and over 55% organic growth. The continued expansion of the Workforce Solutions data hub and the fast growing $5 billion Talent and $2 billion Government TAMs is driving strong double-digit organic growth in both verticals, leveraging Workforce Solutions over 540 million historical records for new products. The introduction of the unique Appriss Insights National Student Clearinghouse data and other talent related data assets, strengthens our ability to deliver new solutions leveraging the EWS data hub. The non-mortgage consumer lending business principally in banking and auto showed strong growth as well, up 40% in the quarter. Increasing records penetration, system-to-system integrations are driving growth in auto, card and consumer finance and debt management grew over 25% in the quarter. As mentioned earlier, mortgage revenue for Workforce Solutions was up 3% versus last year, 27 points stronger than the overall U.S mortgage market decline and consistent with our expectations that EWS would outperform the mortgage market by approaching 30 points in 2022. Employer Services revenue of $136 million was up a strong 33% in the quarter. Combined our unemployment claims and employee retention credit businesses had revenue of $50 million, up 6% last year, but down 7% sequentially as expected. We expect total UC and ERC revenue to be down about 25% for all of 2022 driven by lower jobless claims and ERC as the COVID federal tax program runs out. Employer Services non-UC and ERC businesses had revenue of $86 million, up over 55% versus last year with strong organic growth of over 15%. Our I9 business driven by our new I9 anywhere product continue to show very strong growth, up over 55%. In the first quarter, our I9 and onboarding business made up over -- made up almost 25% of Employer Services, non-UC and ERC revenue. Our combined Health e(fx) business, which is the combination of Equifax workforce analytics and our Health e(fx) acquisition that we acquired in the third quarter last year represented about 45% of Employer Services non-UC and ERC revenue in the quarter and delivered total growth of just under 70% with organic growth of about 1% as expected. As we discussed, the seasonality of ACA revenue was concentrated in the first half of the year. Workforce Solutions adjusted EBITDA margins were 54.6%, consistent with the guidance we provided February and very strong. The decline in margins versus last year was principally driven by the addition of Appriss Insights and Health e(fx). And as expected, initial margins from these acquisitions are dilutive to Workforce Solutions. As we move through 2022 and drive synergies, this dilutive impact will be mitigated. As shown on Slide 9, continued expansion of the Workforce Solutions data hub is a key strategic focus for Workforce Solutions and the engine driving future growth in the fast-growing Talent and Government Solution markets. Talent Solutions delivered 145% total and 80% organic growth in the quarter. And we began introducing new multi data talent products in the quarter with new product introductions expected to accelerate as we move through 2022 leveraging the Equifax cloud. We also saw strong growth in the government vertical with revenue up 89% total and 39% organic with significant new wins at the state level and continued growth of our large SSA contract. As I mentioned earlier, Appriss Insights performed very well, delivering 20% growth in the quarter from increased volumes, new customers and success with existing products. More broadly, we expect revenues from NPIs to increase as the integration of Appriss Insights continues in the back half of 2022. Shifting now to Slide 10 and USIS, their revenue of $433 million was down 6% compared to first quarter last year, and slightly below our expectations. The decline was driven by the reduction in USIS mortgage revenue, which were $140 million, and is about 30% of total USIS revenue when it was down 21% for the quarter. Positively, this was about 300 basis points stronger than the overall mortgage market decline of 24.5%. Importantly, USIS delivered their fifth consecutive quarter of growth in B2B non-mortgage revenue at $242 million, which represents over 55% of total USIS revenue, and was up 4% with organic revenue growth of 2%. This was somewhat lower than the mid-single-digit organic growth we discussed in February due to the timing of deal closures in their financial marketing services business. Importantly, B2B non-mortgage online revenue growth, which excludes FMS was strong, at up 10% with 6% organic growth. During the quarter, we saw double-digit growth in insurance, commercial and identity and fraud, and auto and direct-to-consumer both showed high single-digit growth. In telco and banking and lending grew in the mid-single digits. Kount had an outstanding quarter with organic revenue growth approaching 50%. The Kount teams now delivered two consecutive quarters of very strong new deal bookings and along with the monetization of synergies between the Kount and Equifax customer and product base and continued vertical expansion. Our core new product growth continues to be very strong in Kount and the team continues to execute on the development of joint solutions, leveraging both Kount and Equifax data that we believe will drive strong growth in '22 and beyond. Financial Marketing Services, our B2B offline business had revenue of $46 million, down 14% from last year's 12% growth. Importantly, we continue to see growth in marketing related projects, but our batch business was below our expectations. As we discussed in the batch -- in the past, our batch or portfolio review project business can be choppy as the revenue is often driven by larger one-time offline data licensing projects. We expect to return to growth in second quarter driven by growth in marketing pre-screen and in the portfolio review solutions inside of FMS. USIS Consumer Solutions business, the U.S D2C business from GCS, it was combined with USIS in the fourth quarter had revenue of $51 million, up 2% year-over-year, which was below our expectations. With their cloud transformation complete, the team is now focused on delivering best-in-class consumer experiences, leveraging the cloud to roll out new products, and leveraging B2B relationships in traditional financial services credit unions and new fintech players to return the business to growth. The USIS sales team had a strong quarter with a number of key wins resulting in a healthy win rate. The new deal pipeline remains very strong with the overall pipeline slightly higher than the fourth quarter. And USIS adjusted EBITDA margins were 39.3% in the quarter, about flat with fourth quarter and slightly better than our expectations. Turning to Slide 11, our investments and acquisitions of Unique data assets are positioning U.S for sustainable long-term non-mortgage growth. Our Unique data goes far beyond traditional credit data and contains alternative data covering telco payment history, specialty finance transactions, cash flow and bank transaction, wealth data, e-commerce transactions and unique commercial business data. These Unique and only Equifax datasets provide scores analytics and insights that allow lenders to increase approval rates, expand credit lines and reduce losses, particularly with underbanked consumers. These differentiated alternative data assets are important growth lever for USIS to deliver new solutions that will help expand access to credit and the over 60 million on and underbanked population in the United States. Earlier this week, Equifax announced the new data partnership with Fiserv, a leading global provider of payments and financial services technology solutions to leverage their unique data assets in combinations with -- in combination with Equifax data to deliver new solutions to the market. We intend to co-innovate with Fiserv to develop solutions that will help financial institutions and other businesses embrace the power of expanded data and real-time data insights to drive speed, the Kount acquisition mitigate risk and improve overall customer experience with an initial focus on small business commercial solutions. We're very energized about our new partnership with Fiserv. Shifting now to international on Slide 12. Their revenue of $281 million was up a very strong 10% on a local currency basis. Europe revenue was up 6% -- 16%, driven principally by our U.K debt management business. We've seen significant increases in debt placements from the U.K government over the past several quarters that we expect to continue. As you recall, in December, Equifax was awarded a 4-year extension with the U.K on their government debt resolution contract with an estimated value of $136 million, with an incremental $90 million of potential incremental sales from analytics and other CRA related solutions. Our European CRA business was up 2% in the quarter driven by growth in identity and fraud insurance and telco and partially offset by the U.K direct-to-consumer business which was below our expectations. Asia Pacific revenue was up 6% driven by strong growth in our Australia commercial business, verification services, and identity and fraud. Latin America was up a strong 23% driven by double-digit growth in Chile, Argentina, Mexico and Central America. The team's strong new product introductions over the past 3 years and pricing actions continue to benefit growth across the region. This is the fifth consecutive quarter of growth for Latin America. Canada was up 2% and below our expectations driven by lower volumes in consumer direct and mortgage market declines from higher interest rates. And auto was flat for the quarter. International adjusted EBITDA margins at 25.4% were down 150 basis points, primarily due to the elimination of equity income from our Russian joint venture that John discussed. Excluding this impact, EBITDA margins would have been about flat with last year and slightly -- and up slightly from our expectations. As shown on Slide 13, we're off to a very strong start with our new product vitality index over 12% in the first quarter, which is above our 10% goal for the year and the highest vitality index since we began tracking this measure over 10 years ago. Building on the record 151 new product introductions last year, we delivered about 30 new products so far in 2022, which is on a similar strong pace to the fourth quarter. Some of the more significant new product launches are detailed on the slide. Leveraging our new EFX cloud capabilities to drive new product rollouts, we expect to deliver vitality index in 2022 of over 11%, which equates to over $550 million of new product revenue this year. The 11% vitality is up 100 basis points from our February guidance and up 200 basis points from our strong 2021 results. NPIs are central to our long-term growth framework in driving EFX top line growth. As detailed on Slide 14, reinvesting our strong cash flow in accretive and strategic bolt on M&A is central to our EFX 2023 growth strategy and our new long-term growth framework. We expect to add 1% to 2% of revenue growth each year from strategic bolt on M&A. And we're starting '22 strong with two strategic and accretive bolt on acquisitions, Efficient Hire and Data-Credito. Efficient Hire further strengthens Workforce Solutions by bringing expanded Employer Services to hospitality building services and senior living markets. The acquisition also allows Workforce Solutions to better compete and penetrate the hourly and high-volume hiring market, and of course provides us with incremental twin records. Data-Credito is the largest consumer credit reporting agency in the Dominican Republic that adds to our strong market presence across Latin America. Since the beginning of 2021, we've completed 10 strategic bolt on acquisitions that strengthen and broaden EFX and that fit our M&A priorities. Number one to expand and strengthen our strongest and fastest growing business Workforce Solutions. Number two to add unique data assets. Number three to expand in a fast growing $19 billion identity and fraud space; and number four to work to expand our global credit bureau footprint. We're well down the path of integrating the acquisitions in the EFX cloud and driving synergies to accelerate our growth. And with that, I'll turn it over to John to provide more detail on our second quarter and our full year 2022 guidance.
John Gamble: Thanks, Mark. As Mark discussed earlier, we have updated our view of the U.S mortgage market reflecting the significant changes in current and expected future levels of U.S interest rates. As shown on Slide 15, in 2022, we are now expecting declines in U.S mortgage credit, increase of 33% in the second quarter and 40% in the third and fourth quarters of 2022, which we believe is consistent with mortgage originations being down over 40% and is consistent with market forecasts. As we saw in the first quarter, the decline in mortgage inquiries was less than the expected mortgage originations, we believe driven by increased shopping by consumers as rates began to rapidly rise. We expect to see some of the same behavior, but at lower levels as we move through the remainder of the year. As we have shared in prior quarters, Slide 16 provides a view of both the number of home mortgages that would have a rate benefit from refinancing on the left, and a view of the levels of home purchases on the right. Our updated assumptions for U.S mortgage market credit inquiries, we believe are consistent with the trends these charts reflect. The left side of this -- the left side of the slide provides a perspective on the number of home mortgages for which a refinancing would provide a rate benefit, the in-the-money population of mortgages. The in-the-money population as of mid-April when the 30-year fixed rate was about 5% is about 3.3 million homes, down about 80% from the levels we saw in January when rates were 3.6%. As the in-the-money population declines, mortgage refi is increasingly driven by cash out refis, that are often executed with no rate benefit or rate increase. For prospective, for Black Knight data from February 2022, about 25% of refinancings were by borrowers that had an increase in our borrowing rate. As shown on the right side of Slide 16, the pace of existing home purchases continues at historically high levels about consistent with the levels we saw in 2021. Our assumptions for the U.S mortgage market over the last 9 months of 2022 are consistent with the trends just discussed. We have assumed that U.S mortgage purchase market volume stays strong, but declines in the second half by 5% to 10% from the levels we saw in 2021. We're assuming that the U.S refinance market volume declined substantially with volume increasingly driven by cash out refis. We expect refi volume to be down over 50% in 2Q and over 60% by 4Q with significant sequential declines in each quarter. Refinance will be about one-third of total mortgage volume in the second half at the lowest levels we have seen over the last 10 years. Slide 17 provides a revenue walk detailing the drivers of the 6.2% constant currency and 5.6% total revenue growth to the midpoint of our 2022 revenue guidance of $5.2 billion. The 33.5% decline in the U.S mortgage market is negatively impacting 2022 growth by about 10.4%. Over 350 basis points and $175 million more negative than the levels we discussed in February. When combined with the expected declines in the Workforce Solutions unemployment claims and ERC business that we have discussed with you in February, total headwinds in 2022 revenue growth were about 11.5 percentage points. As Mark discussed earlier, core revenue growth is expected to be over 17% and up 150 basis points from the levels discussed in February. Core organic revenue growth is up 120 basis points with the remainder coming from the acquisition of Data-Credito. This stronger core revenue growth drives about $75 million in revenue benefit, offsetting just under half of the impact of the weaker mortgage market. Non-mortgage organic growth is driving almost 60% of the growth. The largest contributor continues to be Workforce Solutions with strong organic growth and talent solutions, government and employee boarding solutions including I9. International and USIS non-mortgage are also expected to drive core growth. Slide 18 provides an adjusted EPS walk detailing the drivers of the expected 7% growth to the midpoint of our 2022 adjusted EPS guidance of $8.15 per share. Revenue growth of 5.6% at our 2021 EBITDA margins of about 33.9% will deliver 8% growth and adjusted EPS. EBITDA margin expansion of about 125 basis points is expected to drive about 6% growth and adjusted EPS. The reduction in EBITDA margin expansion by over 50 basis points from our prior guidance is driven by both the elimination of equity income from our Russian JV, which was reducing margins by over 30 basis points, as well as from the negative margin impact of the net loss of $100 million of high margin online revenue. We are on track to deliver the reductions in tech transformation expenses and savings from migration to our cloud systems that we discussed with you in February. Consistent with our guidance from February, depreciation and amortization is expected to negatively impact adjusted EPS by about 3%. D&A is increasing in 2022, as we accelerate putting cloud native systems into production. The combined increase in interest expense and tax expense in 2022 is expected to negatively impact adjusted EPS by about 4 percentage points. Interest expense is higher in 2022 by about $26 million and higher than our expectation in February by about $6 million. Our estimated tax rate used in this framework of 24.7% does not assume any changes in the U.S federal tax rate. Slide 19 provides the specifics on our 2022 full year guidance, which I also just discussed. At a BU level, our updated view of U.S mortgage impacted both EWS and USIS. EWS is expected to deliver revenue growth of about 15%, as stronger non-mortgage growth is expected to be over 35% partially offsets the impact of the weaker mortgage market. EWS EBITDA margins are expected to be about 54%. USIS revenue is expected to be down 6% to 7%, reflecting the greater 33.5% assumed decline in the U.S mortgage market. Consistent with February, non-mortgage revenue is expected to be up 6% to 8%. USIS EBITDA margins are expected to be about 38%, reflecting the impact of the weaker mortgage market. Consistent with our February guidance, combined EWS and USIS mortgage revenue is expected to outperform the overall market by almost 20 percentage points. And international revenue is expected to deliver constant currency growth of about 79%. International EBITDA margins are expected to be up over 50 basis points. The decline from our February guidance is due to the impact of the loss of income from our Russian JV. Absent this item, our guidance for international EBITDA margins is unchanged. Slide 20 provides our guidance for 2Q '22. We expect revenue in the range of $1.31 billion to $1.33 billion. Acquisitions are expected to positively impact revenue by 4.4%. 2Q '22 EBITDA margins are expected to be flat to down sequentially. Looking at business units in the second quarter, Workforce Solutions revenue growth is expected to be up almost 20% year-to-year with mortgage down mid-single digits and very strong non-mortgage growth continuing. EBITDA margins are expected to be about flat sequentially. USIS revenue is expected to be down about 6%. Non-mortgage is expected to be up 6% to 7%, partially offsetting mortgage revenue down just over 30%. EBITDA margins are expected to be about 38%, reflecting lower mortgage revenue. International revenues expected to be up about 10% year-to-year in constant currency and EBITDA margins are expected to be up slightly sequentially. Corporate expenses expected to be about flat sequentially. We're expecting adjusted EPS in 2Q '22 to be $1.98 to $2.08 per share, compared to 2Q '21 adjusted EPS of $1.98. We believe both our second quarter and full year 2022 guidance are centered at the midpoint of the revenue and adjusted EPS ranges we provided. Now I'd like to turn it back over to Mark.
Mark Begor: Thanks, John. As highlighted on Slide 21, we remain laser-focused on our EFX2023 growth strategy to leverage new EFX Cloud for innovation new products. EFX2023 is the foundation for our new 8% to 12% long-term growth framework. We continue to make significant progress executing the EFX data cloud and technology transformation. And we now have over half of our revenue being delivered from the new Equifax cloud. This will build meaningfully in 2022 as we expect to substantially complete our North American cloud migrations. We completed over 120,000 B2B migrations, over 10 million consumer migrations and 1 million data contributor migrations.  In North America, our principal consumer exchanges are in production on our new cloud-based single data fabric and delivering to our customers. Our International transformation is also progressing and is expected to be principally complete by the end of 2023 with some migrations being completed in 2024. And we're in the early days of leveraging our new EFX cloud capabilities, and remain confident that it will differentiate us commercially, expand our NPI capabilities, accelerate our top line growth and expand our margins from the growth and cost savings in 2022 and beyond. We remain on track and confident in our plan to become the only cloud native data analytics technology company. As shown on the next slide, Equifax is increasingly much more than a Credit Bureau and focused on faster growing identity and fraud, talent, employer and government verticals. The consistent execution of our strategy over the past 4 years and the strategic bolt on acquisitions we completed in '21, and so far in 2022, are all aligned with our strategy and in faster growing markets. In 2022, over 50% of Equifax revenue is expected to be outside our traditional consumer and commercial Credit Bureau Market segments, principally in Workforce Solutions and our identity and fraud businesses. These businesses represent about two-thirds of our 45 billion addressable markets in identity and fraud, talent, government, and HR services as well as the employment and income portions of our credit businesses, with growth rates twice as fast as our traditional credit markets. As we move forward, these businesses will increasingly become larger portions of Equifax and drive our top line growth. As shown on Slide 23, very strong 17% core revenue growth in '22 and 22% growth -- core growth last year is driven by our outperformance in higher growth vertical markets. We are a different company today with over 40% of Equifax revenue, delivering over 10% growth. And even more powerful are the businesses delivering over 20% growth in fast growing markets, including Workforce Solutions, which is up 30% -- 33% in the first quarter, with their talent businesses approaching 150%; their government business up about 90%; their consumer lending business up 40%; and I9 anywhere over 50%. Our Kount business and the identity and fraud space delivered almost 50% growth in the fast-growing market. Our Appriss Insights business was up over 20% and our 11% NPI vitality index is fueling our growth. These faster growing verticals in new markets like talent, government and identity and fraud are driving our top line and allow us to outgrow underlying market macros. Wrapping up on Slide 24, Equifax delivered another strong and broad base quarter with 12% overall growth and 21% core growth, more than offsetting the 25% decline in the mortgage market with broad based performance which was above your and our expectations. We are operating very well with strong momentum and now have delivered nine consecutive quarters of strong above market double-digit growth reflecting the power of the new Equifax business model and our execution against our EFX2023 strategic priorities. Equifax is resilient and on offense. We have strong momentum and are delivering the strongest results since the 2017 Cyber Event and arguably the strongest results in the past 10 years at Equifax. At our Investor Day last November, we discussed how the execution of our EFX2023 strategic priorities including the Equifax data and technology cloud transformation, would lead to stronger revenue growth, faster margin expansion and higher adjusted EPS growth. And as you know, we introduced the new long-term financial framework with total revenue growth of 8% to 12%, including 100 to 200 basis points of growth from bolt on acquisitions. We also expect to deliver margin expansion of 50 basis points per year over the long-term that will help us deliver adjusted EPS growth at 12% to 16%, which combined with our 1% dividend yield target will allow us to deliver a total return to shareholders of 13% to 18%. The rapidly changing and unprecedent environment makes forecasting the impacts of the U.S market -- mortgage market incredibly challenging. We do not take guidance changes lightly. But we thought it was prudent to de-risk the year by reducing our U.S mortgage market credit inquiry outlook to down 37.5% for the balance of the year, resulting in a full year decline of 33.5% in our mortgage market. This includes a decline in the mortgage market of 40% in the back half of '22, which is approaching 25% below the 5-year run rate levels from prior to 2020 and pull-forward the market declines we'd expected in 2023 into 2022. We also believe this equates to mortgage originations being down more than 40% in the back half of 2022, which is aligned with most market estimates. We feel this is a prudent and balanced framework given the unprecedented macro environment. Against the declining mortgage market, Equifax is resilient and continues to deliver strong results. Our updated outlook deliver 6% growth offsetting more than $500 million over 10% of mortgage market decline, with strong core revenue growth of 17% in 2022, which is up 150 basis points from our February guide, and over 250 basis points from the framework we shared with you at our Investor Day in November. Our ability to offset the 33.5% decline in the mortgage market and deliver 6% total growth, driven by 17% core growth is powerful. Looking back at the '08, '09 global financial crisis, which is the last time we saw a macro event like this impacting the mortgage market, Equifax revenue was down 6% versus the 6% growth we will deliver in our 2022 framework. We're different company today. A more diverse, resilient, faster growing higher margin, higher free cash flow company, a new Equifax with stronger growth levers. Workforce Solutions is our strongest and fastest growing business and will be north of 45% of our revenue in 2022 with a run rate -- runway to move past 50% of Equifax revenue in the near future. A 33% growth in the first quarter is over 4x the growth rate of the rest of Equifax and the 55% EBITDA margins are over 15 points above our average and highly accretive to Equifax. Workforce Solutions has multiple levers to deliver their 13% to 15% long-term growth rate, which is highly accretive to Equifax. Our core non-mortgage market growth is very strong at 21% in the first quarter and 17% in our new 2022 guidance and above our new 8% to 12% long-term framework. We think about core revenue growth as a strong indicator of the breadth, depth and strength of the underlying Equifax business model. We expect our mortgage teams will continue to outperform the market decline by almost 20 percentage points in 2022, consistent with our February guide, with Workforce Solutions outperforming by approximately 30 points from pricing NPIs new twin records, new customers and system-to-system integrations. And as you know, we're in the early days of leveraging the 50% of Equifax that's now in the Equifax cloud environment and we're just starting to realize the top and bottom-line benefits from the cloud. As we move over the coming months and quarters to be fully cloud native, the top and bottom-line benefits will really kick in over the next 2 to 3 years and drive our top line while enabling us to achieve our 2025 margin goal of 39%. And as we talked on the call this morning, we're ramping our new product capabilities, leveraging our differentiated data assets in the Equifax cloud. Our vitality index in 2022 will now be 11% or over $500 million, which is up 9% last year and 100 basis points from our start in 2021. NPIs are fueling our growth. And last, our 10 bolt on acquisitions in the last 15 months are adding $375 million to our run rate revenue. But more importantly, the M&A synergies will be kicking in during 2022 and 2023 as we complete our integrations and drive our NPI rollouts. To be clear, we believe Equifax continues to operate at a very high level. There's no change in our long-term outlook for Equifax. The change in our mortgage market framework simply pulls forward the market normalization into 2022. We remain confident in our 8% to 12% long-term growth framework and 50 basis points a year of long-term margin expansion that we rolled out at our Investor Day in November. And there's no change to our 2025 goal of $7 billion of revenue and 500 basis points of margin expansion to reach EBITDA margins of 39%. We are a new Equifax. A more resilient, more diverse higher growth and higher margin company. I'm energized by our strong first quarter performance, but even more energized about the future of the new Equifax. I'd like to close by welcoming Trevor Burns back to the Equifax leadership -- senior leadership team. We announced earlier this week that Dorian Hare has taken another position outside of Equifax and we wish him well. We'd like to thank Dorian for his service, leading Investor Relations for the past 2 years. Trevor will now reassume the lead responsibilities for Investor Relations effective immediately. And with that, operator, let me open it up for questions.
Operator: [Operator Instructions] Our first question is coming from Manav Patnaik from Barclays. Your line is now live.
Manav Patnaik: Thank you. Good morning. I appreciate and I applaud the de-risking of the mortgage. I just had a question around the incremental or decremental margins there. John maybe of the $0.50 EPS reduction, it sounds like $0.12 is from the Russia write-down. So is the remaining all on the mortgage side, I was just hoping you would help us understand that a bit.
John Gamble: Yes. So, the remaining revenue decline of $100 million, right is the revenue decline offset by $75 million of non-mortgage growth, but it's all online, revenue decline. And Manav, as you know that we have very high mortgage …
Mark Begor: In mortgage.
John Gamble: … in mortgage, yes. But as you know, we have very high variable margins across online, online mortgage as well. So, it flows through and you can just do the math, right, it flows through it's something on the order of 60% is the -- what we brought forward.
Manav Patnaik: Okay, got it. That’s helpful. And then, Mark, maybe just on the talent side, some -- pretty impressive growth there. Can you just help us appreciate the volume or cyclicality to that business? Obviously, the labor market is hot. And so, the touches on that kind of data is good. Do you anticipate that slowing down? Or how should we think about the sensitivity there?
Mark Begor: Yes, it's a great question, Manav. I think as you know, 75 million people a year change jobs, every year. It's a -- it's one that has some cyclicality, but there's an underlying base, it's very, very high. The growth that we're getting, though, is really from our penetration in the market, the new products we're rolling out, leveraging the work history we have in the 540 million records, where we have a resume for Manav of all the jobs you've had, so that work history is very valuable. And the kind of the macro change in talent is around speed, which we don't think is going to change, meaning hiring managers want to get that individual on the floor more quickly. That’s always the case, even pre-pandemic and instant data that you can get from Equifax, work history data and now with incarceration data, we have medical credentialing data, we have the education data, and we're adding more datasets there allows the background screeners, which are our customers and other hiring businesses to really speed up their decisioning for the hiring manager. So, the bulk of the growth that we have there, and it's obviously, very, very strong, and we expect to continue is really putting these solutions together. And we've got more new products in the pipeline that we plan to bring out. We've talked with you before and others that, last year, we rolled out solutions that had more work history versus where does Mark work today with Equifax, where he work over the last 10 years. So those solutions we rolled out last year, and we're bringing those to the market. Those are really driving a lot of the top line growth. And then in 2022, we'll start combining some of the solutions like incarceration data with the work history, with education data to have a one click solution, and then we'll customize those around job categories. Because as you know, in each hiring process, the data that's used is different depend upon who you hire, a white-collar worker versus a banking employee versus a warehouse worker versus a truck driver or a dentist or a doctor. Those are all different data requirements, which is where we want to work towards productizing around families of jobs, which again, will make it easier for our customers to pull the data and then also results in higher revenue for Equifax because we're bringing more value to the space. The other point I would make out is we're increasingly driving system-to-system integrations here. You go back a couple years ago, like mortgage, the talent space was accessing a lot of our data through the web, through a manual web interface, meaning keying into the web and putting Mark's name in there and pulling down the data, moving the system-to-system, we get the same lift going forward. So, there's a lot of runway still with that going forward. So, it's a space that we like, it's a big space and one that we see a lot of potential going forward.
Mark Begor: Just one thing to add, we can see the power of the historical records, because if you look at twin revenue excluding mortgage, take mortgage out of the mix, we're now seeing over 50% of the revenue include historical records.
Manav Patnaik: Got it. Thank you.
Operator: Thank you. Our next question is coming from Kevin McVeigh from Credit Suisse. Your line is now live.
Kevin McVeigh: Great. Thanks so much. Hey, I know you've talked about this a lot, but clearly you're outperforming the mortgage market pretty dramatically. Mark or John, can you bracket because it looks like the USIS will be down about 6% to 7% versus mortgage down 33%. Is there any way to think about just a couple of buckets of what's driving that relative outperformance just trying to frame it on a percentage basis, just to contextualize that a little bit more?
Mark Begor: And Kevin, your question is around USIS in particular versus EWS?
Kevin McVeigh: Yes, USIS if you want to open it up to EWS as well, it's fine.
Mark Begor: Yes, maybe I'll start John. But there's a number of levers that we have to outperform all our underlying markets and you can use mortgage in particular, obviously, that gets more challenging when you talk about a mortgage market in the second half, that's going to be down 40%. But we've had strong outperformance for a long history. Workforce has more levers than USIS, but both businesses and I'll talk about USIS. One of their levers outperform underlying markets is price, increasing the price of the solution or the credit file and both Workforce Solutions and USIS have regular price increases that help them offset or increase their revenue depend upon where the markets going. The other is new products. Both businesses rollout new solutions. And Workforce Solutions has a lot more product opportunities than USIS, but USIS has had some new product rollouts to help them outgrow the underlying or in this case, in 2022, declining market. Third is going to be new customers. In USIS's case, that's really in their tri-merge business, growing some share there will grow their revenue. In Workforce Solutions, as you know, we only see 60% plus of mortgages still. 40% are done with manual paper pay stubs, we've been growing that. So, adding customers is a lever, or usage, if you will, is a lever. The other one both businesses have is the number of polls that happen in a transaction, and that's been growing in both USIS and in Workforce Solutions. Particularly as you see more digital interactions with consumers, which we would characterize as shopping, meaning consumers are shopping for mortgages and deciding which mortgage originator to work with in that shopping process, which is fairly new and more utilized in the last couple of years. And it's here to stay in our view, there's some data polled to qualify the customer. So, in the shopping process that mortgage originator can respond with some framework about the offer. So that's a place where number of polls, is another opportunity for the business. System-to-system integrations in USIS, it's virtually 100%, fully system-to-system. And Workforce Solutions, we've talked many times that of the 60% of mortgages, we see about 70% plus are system-to-system. We've been growing that, that's up, I think, 50% from where it was 3, 4 years ago. So, there's still opportunities versus web access. And in system-to-system we get a 20% lift in the number of polls. And then the last one that I touch on, it's really unique to Workforce Solutions is growing records. As you grow records, we have higher hit rates. Remember, in a system-to-system integration, or even a web access, our customers are coming to us for all of their mortgage applications or in their process. And when they do that, when we grow our records, which are up 19%, year-over-year in the first quarter for Workforce Solutions, that becomes revenue. We're able to monetize those additional records, which is why we're so focused on records.
John Gamble: Hey, Kevin, if you're specifically just talking about USIS being down 6% to 7%, relative to the market being down 33.5% again, 6% to 7% are total revenue, right and the order of two-thirds of their revenue is non-mortgage. So, and we're seeing 6% to 8% growth in their B2B revenue, which is over half of their revenue, which is consistent with the long-term framework for USIS. And we're also expecting to see growth at a somewhat lower level, but growth in the consumer business that came over from GCS. So, it's those two -- the two-thirds of the business that's showing nice growth, that's offsetting the weaker mortgage market. And as Mark said, USIS is also outperforming the mortgage market.
Kevin McVeigh: That helps. And then just real quick, John. What percentage of total Equifax is mortgage in kind of Q1 and then where do we think it'll end 2022?
John Gamble: Yes, the Q1 was about 29.5%. And then as we move through the year, I think we'll get down to the point where we're just -- we're in the neighborhood of 21% to 22% as we get into the fourth quarter.
Kevin McVeigh: Super. Thank you.
Operator: Thank you. Our next question today is coming from Andrew Steinerman from JPMorgan. Your line is now live.
Andrew Steinerman: Hi, John. On the mortgage percentages you just gave was that the U.S mortgage revenue or total mortgage revenues? I heard you mentioned mortgage in Canada today. My second question is, I know you like to look at core growth rates. I'm going to ask a question that's total. Could you tell us what the first quarter organic non-mortgage growth rate was?
John Gamble: Okay. So the first question, the 29.6 is total, right. But Canada is very small.
Mark Begor: It's really U.S.
John Gamble: It's really driven by very, very small and we'll validate that to make sure, but I believe that's correct. And then in terms of core organic …
Andrew Steinerman: No, no. I don't want to work core. I just want first quarter organic non-mortgage, total company.
John Gamble: First quarter organic. So, I don't think that's a number we've disclosed, right, we give core organic, right. We gave organic for the business units.
Mark Begor: And we give total.
John Gamble: And we give total.
Mark Begor: But certainly, one that -- we probably don't have in front of us here, Andrew, and we can look at getting that for you.
Andrew Steinerman: Okay. Thanks so much. I appreciate it.
Operator: Thank you. Our next question is coming from Toni Kaplan from Morgan Stanley. Your line is now live.
Toni Kaplan: Thanks so much. Mark, I was hoping you could talk about what you're seeing in Europe. It seemed like this was a good quarter, in the first quarter, but was that more front end weighted? And just trying to think about how you're viewing it for the rest of the year?
Mark Begor: Yes, we haven't seen any different. In Europe, for us, as you know, as U.K and Spain, which is really where we participate there. We're seeing a positive as the government and companies in the U.K., following the pandemic start to focus on some of the collections that were suspended during the pandemic timeframe. So that's kind of a positive for the business, which we expect to continue through 2022. And the underlying kind of credit businesses, we don't have kind of a mortgage issue. If you want the mortgage market macro in Europe, in our two countries, because we really don't participate in mortgage there. And it's really operating what you'd see in the non-mortgage business, here in the States, where it's pretty, pretty steady. And we see elements of kind of post-pandemic recovery, card issuers wanting to do marketing, wanting to rebuild their balance sheets, similar discussion around consumers, being fairly strong meaning employment is high, unemployment is low, which is kind of a good macro in those markets, same in Canada, Australia, and frankly, in Latin America, around the globe, people are working. So, outside of the interest rate environment, and then you can, as a result the inflation environment, the higher interest rates are going to attempt to offset. You see consumers that are working low unemployment, that have better balance sheets than they had coming into the COVID pandemic, because they got some stimulus spending, and of course, they're working. So, we're pretty optimistic for kind of the core portions of the business, and we're delivering that when you see the results.
Toni Kaplan: Terrific, very helpful. And just thinking about mortgage in 2023, you talked about some of the decline that you were expecting in '23, you're pulling it forward into your '22 guidance. Are you thinking that 2023 sort of returns to what a normal level like we've been seeing -- that we saw on like 2015 to 2019? Or is there sort of more to go even beyond this year, just given the match of outperformance from prior -- the prior 2 years?
Mark Begor: I think as John and I both mentioned, we tried to really stress kind of the mortgage market outlook. And let me be -- obviously transparent. This is a hard thing to forecast. We don't know where interest rates are going to go. It's pretty clear, they're going to go higher. We've never seen a Fed navigate an 8.5% inflation environment with full employment. That's a very tricky thing to do. So, it's probably hard to forecast. But what gave us comfort in de-risking, the outlook for 2022, which as you point out, and I did to that pulls forward what we thought would have been a more gradual return to normalization, until inflation heated up. We think that that's a pretty strong stress scenario from the way we looked at it. And as John pointed out, when you go back the past 5 to 10 years, pre-COVID, meaning -- and pre-COVID meaning is pre the refi run up when interest rates were slashed because of the COVID environment and refis really exploded. We're 25% below kind of a normal market when we exit the year. And really in the second half, that we think is kind of as low as it can go because when you think about the mortgage market, there's a steady purchase volume even in a recession. And this -- I don't know how to talk about what environment this is. It's certainly not a recession. But even in a recession people move. 40 million people a year move, they're buying houses, so there's a steady level of purchase volume. And then even in a rising interest rate environment, consumers do refis, particularly when they have some level of equity in their homes. And that's another calculus and looking at the way we tried to stress the mortgage environment and came up with our kind of down 40 in the second half is -- there's still a lot of home equity out there that's untapped. And doing cash out refi is even at higher interest rates is something you could see consumers do, and we've seen them do before. So, a bit long winded. But what we tried to do was really stress this in this uncertain environment to kind of is a darker mortgage environment as we could see.
Toni Kaplan: Thanks so much. Helpful.
Operator: Thank you. Our next question is coming from Kyle Peterson from Needham. Your company -- your line is now live.
Kyle Peterson: Hey, good morning, guys. Thanks for taking the questions. I want to touch on kind of the performance in the non-mortgage business. Really impressive, especially given the mortgage headwinds. What do you guys think is the biggest driver behind that? Is it other credit products kind of performing better than expected? Or is it a share gain story? Or kind of what do you think is driving the upside on the non-mortgage side?
Mark Begor: Yes, how much time do we have? We went through a lot of factors. I would start first with Workforce Solutions. Workforce Solutions, and we went through in real detail in our comments, non-mortgage businesses are very strong. And then, yes, I know you asked about non-mortgage, but even their ability start with growing records. Records up 19%, and the ability to continue to grow records, and their history of growing records, that puts a -- an element in the business, both mortgage and non-mortgage. Your question was around non-mortgage. So, as we grow records and what's unique about workforce is, we don’t have all the records. And up 19% in the first quarter we've got three, now four larger kind of chunkier additions. Of course, we're doing M&A to add records through our Employer Services, business. So I would say that one unique element at Workforce. Certainly, our pricing power in Workforce and to a lesser degree in USIS allows us to outperform and drive non-mortgage growth. But then, as I talked about in the back half of my comments, some of the new verticals we're in where we're making acquisitions, or leveraging the cloud to roll out new products, like the talent space, or the government space, really strong growth rates they were delivering there. And then more broadly, Workforce, I think, is one which I talked about a bunch. The second is new products. Our new products are primarily a non-mortgage, because that's where most of our businesses, and that’s where we're rolling them out. And a lot of our new products, as you know, are really leveraging our historical or multi data solutions. Whether it's in the talent space, instead of having a solution, that's where it is Mark worked today, which is what historically we had. Now we have, where did Mark work over the last 24 months, where at the last 36 months, in the last 48 months, the last 60 months. And we're going to add more different solutions there. Those are at higher price points. So that's driving the business. And we have commercial activity where we're out there winning share in USIS and of course, in EWS where we're just placing paper pay stubs that drives it. We talked about system-to-system integrations. I think the power of Equifax is we go through 2022 and into '23 and '24, is our differentiated data assets. It's the fact that we're really ramping NPIs, but we haven't finished the cloud. So, we're only in the early innings of really leveraging the cloud. That's going to come in the latter parts of '22 and '23. That's where we're really going to be able to drive that going forward. And I think you got a sense that taking up our guidance, really for the second time this year, around core growth, with most of that being driven by non-mortgage core growth, shows our confidence in the underlying strength of the company, which is our ability to bring new solutions to market, executing on our cloud transformation and really driving into some of these new markets, like identity and fraud, like talent, like government that have higher underlying growth rates than traditional FI credit bureau kind of markets.
Kyle Peterson: That’s helpful. And then just a quick follow-up on kind of your updated thoughts on capital allocation. You guys have given some pretty detailed thoughts at the Analyst Day in November. But I guess just given the higher rate environment of any -- the priorities in the near-term change between debt reduction or potential M&A or new product launches that will kind of help you diversify away from mortgage faster. Just want to see how you guys are thinking about it in this current environment?
Mark Begor: Yes, so there's a couple of different questions there. First on our capital allocation, we were pretty clear at our Investor Day. We talked about it really in every earnings call, no change in that. First, we believe our free cash flow will continue to accelerate meaningfully through '22, and '23 and '24. And there's no change in what our free cash generation will be in 2022. We're still confident in that. And that free cash flow gives us a lot of flexibility, certainly around M&A. And as you know, we've done well over $3 billion of M&A in the last 15 months, all of that M&A has been oriented in kind of non-mortgage, if you want to use that term. But really in kind of core areas of Workforce Solutions, differentiated data that that's really been clearly our focus is to broaden Equifax. And you saw the slide that we put in the deck, again, that we had at Investor Day about our broader focus into faster growing markets. There -- we don't have competitors that talk about growing in the $2 billion government TAM. We don't have competitors that really talk about growing in the $4 billion talent TAM. I think they have focused on the identity and fraud, TAM that we're playing in, but really a clear focus there. And as our cash flow continues to accelerate, our priorities are certainly investing in Equifax, which we're doing through the cloud transformation. As you know, we're going to complete that, then that'll free up cash for us to invest more in new products going forward, which should drive our top line. But outside of investing in CapEx, we still view M&A as an important way to do bolt on acquisitions to strengthen the core of Equifax, really discipline around where we want to do it to strengthen the core of workforce, differentiated data, or identity and fraud. But then there's going to be excess free cash flow from Equifax. And as our EBITDA continues to grow, as we go through '23 and '24, we're going to delever the company. And at the right time, we'll certainly look at returning some of that cash to shareholders through buyback, or through increasing our dividend. We're not ready to do that today, but we are clear in our Investor Day that that's a -- kind of that balance of how we think about a capital allocation framework going forward against the backdrop of a significant increase in both our free cash flow going forward and our leverage available -- cash flow available from leverage as we grow our EBITDA.
Kyle Peterson: That's helpful. Thanks, guys.
Operator: Thank you. Our next question today is coming from Ashish Sabadra from RBC Capital Markets. Your line is now live.
Ashish Sabadra: Thanks for taking my question. Mark, I just wanted to go back to the comments that you made about the health of the consumer balance sheet being really healthy, which makes sense. But one of the concerns is that the higher fuel prices inflation, there may be some cracks in the low to mid income consumers, which could potentially weigh on consumer lending. Maybe in the back half of the year. I was just wondering, based on your conversations with the banks, have they indicated any slowdown there, or any color on that front around the state of the consumer itself?
Mark Begor: Yes, we haven't seen it. And our looks are we don't expect to see it based on what we see 2022 unfolding. Certainly, inflation is a real challenge, fuel prices, food prices, et cetera. 8.5% is very, very high inflation. Some states in the U.S are above 10%. But at the same time, people are working, wages are up meaningfully for a lot of wage categories. So that's a positive. And when I talk about their balance sheet, it's really over the last 2 years, they couldn't spend much because we were in the COVID pandemic lockdown. And there was a lot of stimulus, which is still out there. There's still a lot of stimulus coming from -- and again, I'm talking about the U.S government. While they're not individual payments, a lot of the social services payments, some of the requirements have been suspended. You've seen the administration talking about pausing on student debt collections that helps balance sheets for a lot of consumers that are working out there, and they're very low unemployment. And then when we talk to the banks, and you've seen some of their numbers in the last couple of weeks, like use credit card originations, up 10% -- I'm sorry, credit card usage up 10% and the bank's balance sheets declined during COVID. So, you've got very strong customers, meaning in our financial institutions that need to grow their balance sheets, and you've got what I would still argue is a fairly strong consumer, because of the wage inflation and the fact they're working and you add to stimulus, is balancing out the inflation, but it's certainly something you will continue to watch going forward.
Ashish Sabadra: That's very helpful color, Mark. That’s very helpful. And then maybe just on the USIS non-mortgage B2B business. The improvement that is expected from the first quarter to second quarter obviously you provided a lot of good color. I was just wondering how much of it is coming from just volume growth at your existing customers, but also from customers going -- sorry, accessing alternate data sets as well as potential new events? So, I was wondering if you could comment on those two, the new wins, the pipeline there as well as the demand? Obviously, we've continued to see greater demand for alternate data. But are you seeing more of that in the near-term? Thanks.
Mark Begor: Yes, for sure. Just again on USIS, we were quite pleased with their core online business. It was up really -- slightly above or at our expectations on the online piece, which is comes from either market share gains, or new solutions that we're delivering that deliver the online. The piece that USIS didn't deliver on within their batch, or account management, review business, there was really just some timing in March, and some of those deals closed in April. And so we expect USIS to continue moving their growth going forward in the second quarter through the rest of the year in non-mortgage. And we are seeing some good wins in the marketplace, both with the market share gains we expect from being cloud native, providing stronger stability, those are going to continue to be a positive for the USIS commercial team going forward. And as you point out, our increasing focus on alternative data in our single data cloud fabric is another positive and we're seeing definite traction around the use of alternative data. All of our customers are looking for new data solutions to help them drive originations. And when you add some of the unique data assets that we have, which we believe we have at scale, more -- much more than our competitors, those are the kinds of solutions that the USIS team are bringing to market through our new products that we're rolling out.
John Gamble: And just some color on just USIS online in the first quarter non-mortgage, our FI business was up over 10%. So that was good growth. We saw auto and insurance up high single digits, again, very good growth. And as Mark mentioned in the script, Kount was up almost 50%, which is identity and fraud. So we feel good about the way the online business was trending [multiple speakers] covered, yes.
Ashish Sabadra: Sorry about that. Yes, thanks.
Mark Begor: Thanks.
Operator: Thank you. Our next question today is coming from Hamzah Mazari from Jefferies. Your line is now live.
Hamzah Mazari: Good morning. Good morning. Thank you. My first question is just on Workforce Solutions. Maybe if you could update us or just walk us through the ability to take some of the products we have in the U.S and bring them to international markets? Is every international market sort of available to you to penetrate around Workforce Solutions? Or sort of just walk us through which markets are more penetrated versus others? Is it an early innings today?
Mark Begor: Yes, it definitely early innings. We see kind of global market opportunity. As you may recall, pre our cloud transformation, we launched Workforce Solutions businesses in Australia, Canada and in India. We paused on doing any more international rollouts until we got our cloud stack in place for Workforce. And then about a few months ago -- actually a month and a half ago, we announced our entry into the U.K., where we have our cloud stack in there. And we're starting to onboard records from companies and partners in the U.K. So those are the four markets we're in today. We're definitely intending and looking to grow in other markets in the future. And even in markets where we don't do business, meaning we don't have Credit Bureau businesses. As you know, we're in 25 countries outside the United States, but we see the opportunity. And you think about some of the leverage points we have. Number one is our cloud stack, meaning our infrastructure. We spent hundreds of millions of dollars building this and now we can just move it very easily into a new market. Second is our existing customer or contributor relationships if you're a big multinational company, like a GE and IBM, pick a big industrial company, a bank that's doing global business, and there's a bunch of those in the United States. If we're doing the income and employment verification for them here, they liked the idea of us doing it for them in all their global markets. So that's a kind of an opportunity to load records and add in those different markets. And then last is payroll partners that we have. As you know, we've got a substantial number of them on an exclusive basis, most of them are exclusive. And same thing, a handful of those in the U.S are global. And we already have the connections, the pipes, the relationships with them here in the States. So, the ability to do the same thing globally is a leverage point for us. So, you should look for us to do more. In the scheme of Equifax, or Workforce, what's going to move the needle is more of the U.S levers that Workforce has over the next 2, 3, 4, 5 years, but you would expect us to, and we are, investing in some of these longer-term opportunities outside the United States, like the U.K expansion that we did a few weeks ago.
Hamzah Mazari: Got it. And just my follow-up question is just around the cloud transformation. I think you said half of your revenue is on the cloud. Maybe if you could talk about, and maybe you mentioned this already, but just timing of when the other 50% of revenue comes on the cloud and just related to the cloud, the cost savings are baked into your 2022 guide. What is that number again, that's baked in around cost savings? Thank you.
Mark Begor: Sure. I'll start and let, John, jump in. So, at year-end, we had about 50% of Equifax revenue in the new Equifax cloud. We talked about that in our February call. By the end of this year, 2022, we expect to have substantially completed North America, which is U.S and Canada, all of that in the cloud. So that'll be a big jump for us. And as you know, the United States for us revenue wise is approaching 80% of Equifax. And then International, some of the international markets, we won't complete until '23 and there might be some migrations that will complete in 2024. So that's really our runway around -- completing the cloud. And I'll let John jump on the actual cost savings. But as you know, we had some cost savings last year, a bigger number this year, they continue in '23 and they're likely be some in 2024. But they're all embedded in our 500 basis point margin expansion between now and 2025. I think on Investor Day, we talked about half of those roughly being from the cloud. So, if there's any change in that, and John can talk a little bit about the actual numbers.
John Gamble: Yes. So, what we talked about in the past, right, is that we -- in terms of transformation investments, as you went from '21 to '22, that you would see savings and investments, net of new product development reinvestment [indiscernible] the order of $40 million to $50 million. That's still correct, we're still moving forward with that. We also indicated that we would see net cloud savings as we move through 2022. And as Mark said, those were embedded in the margin guidance we gave. We didn't give specific dollar values. But the net cloud savings will be delivering this year as more and more moves on to the cloud. A cloud native infrastructure is embedded in the guidance that we gave, the updated guidance today is for up 125 basis points in 2022 relative to 2021.
Hamzah Mazari: Got it. Thank you.
Operator: Thank you. Our next question today is coming from Craig Huber from Huber Research Partners. Your line is now live.
Craig Huber: Yes, good morning. Thank you. My first question, maybe give us a flavor of the new products that you've rolled out that you're excited about here in the U.S? Let's start there, please.
Mark Begor: Oh, my gosh, how much time do we have? We talk about it in every call we have. There's a bunch. And I would really focus them in a couple of buckets. First is Workforce Solutions. We talked about this before. If you go back a couple of years, Workforce Solutions products they deliver to market were generally around a snapshot of where does someone work today and how much did they make, and a bunch of attributes, but they were really time based and current. And so, one of the big changes we've been able to do as a result of the cloud is really leverage those historical records. And whether it's looking at someone's income and employment over a long timeframe in a mortgage application, or looking at their work history, in the hiring or talent space that trended or time-based data, historical data is incredibly valuable and was very difficult to do pre the cloud transformation. So that's been a big change. And those products are really solving a lot of our customers problems. Our customers needed more than just where does Mark work today for certain consumers, that -- if they have a -- if you're a sales commissioned employee, my income today might not reflect my annual income because I get my bonus in February. So having that 12 months data is incredibly valuable, and we can sell it at a higher price point, using the example of a Workforce Solutions that we would sell at $30, $40, $50 per pole for kind of where does Mark work today, that historical data we're able to bring to the marketplace because of its value to our customers at $150, $135, $200. So, I would say that's a very powerful element of the cloud transformation that allows us to bring new solutions to market. And more broadly, Workforce Solutions, because they're further down the path in the cloud. They're really taking advantage of that, rolling new products out. And I think we talked like in the talent space, we added the 24 -- the 12 month, 24, 48-month work history for some jobs, the hiring manager wants to see more history, those were at higher price points. But we're now going to move to productizing around job category. Meaning if you're a warehouse worker, you're going to need certain types of data, we're going to we're going to develop a one click solution to deliver all that data for that kind of job and that employee. And then someone who's a white-collar worker, is going to have more education data that has to be a part of that poll and other data elements. So that's kind of where we're going product wise. The other bucket, I would say that we're excited about is multi data solutions. And that's really driven by our single data fabric, which is very unique to Equifax. WE had siloed datasets, our competitors have siloed datasets, we're going to a single data fabric, and the ability to combine data, think about the credit file, combined with our cell phone utility payment data, our wealth data, different data elements, the cloud allows us to do that. And that's something that our customers want that alternative data because it drives higher predictability, but it's difficult for them to absorb in pieces. And that's why we're going to serve it up in a single data fabric and then in product solutions, where we combine it together. So, I'd say that's the other bucket of solutions. And then the last is just we're in just different verticals today. You go back a couple, 3 years ago, we were primarily in financial services, bringing new solutions, like I9 anywhere to our Employer Services business, where we're delivering solutions, compliance solutions to HR managers, or as we talked about in talent or government, those are just faster growing markets. And very different than our core FI or Credit Bureau space that you're really energizing. And, of course, the focus we have on it. We've added a bunch of resources in, really '19, '20 and '21. I have a direct report to my leadership team. My leadership team, it's our Chief Product Officer. And then the cloud really gives us a lot of leverage to bring those new products to market.
Craig Huber: That's great. My other question is in -- what is embedded in your outlook for the rest of the year for the U.S for autos, credit cards and personal loans? I mean, you gave us some good data there, how it did in the first quarter. Are you expecting that this significantly slow the rest of the year, given the higher interest rate environment? How are you sort of think about those three categories for the rest of the year? Thank you.
Mark Begor: Yes, we don't see any change in those categories in 2022, already had some comments around the consumer. And we don't think the higher interest rates will impact that in cards or -- autos impacted today by supply shortages. We're dealing with that and the market is, I'm not sure when that's going to be resolved. That's more of an inventory issue, but the underlying consumer and the underlying customer of ours that's trying to grow their financing businesses. We don't see any change from where we were a few months ago.
Craig Huber: That's it. Thank you.
Operator: Thank you. Our next question today is coming from Simon Clinch from Atlantic Equities. Your line is now live.
Simon Clinch: Hi. Thanks for taking my question. It's kind of -- maybe a difficult one to answer. But I was thinking about the pace of outperformance that we've seen from the mortgage revenues in EWS over the last several years, can we learn anything from that and use that as a guide to how we should think about the outperformance or the growth? Has the non-mortgage verification services business really started to take off? As in, should we expect a much faster pace of growth initially at the outset, maybe even faster, because you've got even more records now. And then perhaps a faster normalization, as -- I guess a more compressed cycle, before you get to a more normal sort of level of outgrowth there.
Mark Begor: Yes, that's a complex question, Simon. Let me talk about a couple of things. The one thing that I always start with, and I know you do too, it's very unique about Workforce Solutions is the ability to grow their assets, their data assets, meaning their twin records and drive revenue growth. And we talked before, when you think about 19% revenue growth in the first quarter, that was -- they were up roughly 19% for the year, last year. We've already got a pipeline of additional records, those records translate into revenue, just because we have the system-to-system integrations, and it just takes our hit rates up. So, that's kind of a base element of their ability to outperform their underlying markets, because you're adding records. And then you add on top of that, the ability to roll out new products, drive system-to-system integrations, all of those that we've talked about drive penetration, drive usage, those are all become levers for them to drive their top line growth. And on top of that, when you talk about non-mortgage, as you know, they're operating in some underlying macro markets, whether it's talent, or the government space, that are just growing strongly. These are kind of 20% type, high double-digit growth type markets that help fuel their non-mortgage growth of Workforce Solutions. And I think, an Investor Day we talked about a 13% to 15%, long-term revenue growth rate for the business. Obviously, they outgrew that in the first quarter, they're going to outgrow that in 2022. They outgrew that in '20 and 2021. So, we see a lot of momentum in the business going forward, a lot of levers for growth going forward.
Simon Clinch: Okay. That's helpful. And just as a follow-up, I mean, when we're just going back to mortgages. Just kind of curious to the comments made that you're now bringing your inquiry guide -- inquiry guidance, kind of in line with the outlooks provided by the NBA and Fannie Mae. Whereas previously, I can assume that you weren't doing that. And I was just kind of curious as to the reasons why you weren't using those sort of more public forecasts, what you saw on your numbers that made you more, more positive in those outlooks and why now it's time to go to the more extreme outlooks. When you said yourself that you're nowhere near those trends at this point.
Mark Begor: Yet, so just two things. First, I think what you would have seen over the past several months is obviously NBA, Fannie, Freddie have also substantially changed their outlooks, given the main ticket taking them down, given the significant increase in interest rates. And what we've been doing over the past several years, I think, which we've been very open about as we've been taking a look at the markets based on the run rate trends that we have in our own business, because we can see inquiries. And what we started to see and the reason we made the change we did is because we're starting to see that the inquiry trends that we were, that we can measure, were starting to decline more rapidly. So, as we took a look at the information we had, and the analysis we could do, we believe we're headed toward the type of the down 40% that we talked about, which as we do, the analysis, we now see is consistent with where NBA and Fannie are, but we think the analysis we've done and the analysis they've done are just more consistent to those point in time.
John Gamble: I would add to point that, we talked about it a couple times this morning. But that kind of second half, fourth quarter run rate for the mortgage market that's underlying our new guide, its 25% below the kind of normal markets pre the COVID pandemic. And that's a pretty strong stress, and that was our -- intent was to put something that is it's very uncertain, how far interest rates going to go, how's the Fed really going to tame inflation, which they've never done before at this level with employment at this level. And that's why we decided to do a really strong de-risk of the underlying mortgage market, but then also have a lot of transparency about how the rest of Equifax is operating. Our strong core growth and actually stronger for this -- we took our guidance up for the rest of Equifax for the second time this year.
Simon Clinch: Okay, excellent. Well, thanks very much.
Operator: Thank you. Our next question is coming from Andrew Nicholas from William Blair. Your line is now live.
Andrew Nicholas: Hi. Thank you and good morning. I wanted to spend my two questions on some updates in terms of recent M&A. Maybe I'll start with Kount. I think twice now you mentioned the 50% Plus or 50%-ish growth in that business seems pretty, pretty meaningfully higher than I think the 20% growth that was originally expected when you knocked the deal early last year. So, if you could spend some time kind of talking about what's going right in that business where the momentum is, and the extent to which that growth is, is based on synergies from the Equifax relationships or the Equifax business, or if it's just continued momentum in that area, broadly, both of those would be interesting topics, I think, to cover.
Mark Begor: Yes, so we are very bullish about the space first, identity and fraud and we're really energized about the team, the leader that we brought in, it's driving that business, and it's in a space that's growing rapidly. It's a digital macro is very, very strong. Their underlying growth is a big part of that. There's some elements of synergies, but I would say that those are more on the com, meaning some of the product solutions of combining Kount and Equifax data, we are more second half oriented, it's just a really strong execution, and they have a great product. We've added more resources in the business, I think the headcount in the business is up something like 20% or 30%, maybe it's more like that 30%, since we acquired the business. So, we're putting more feet on the street, we've got a new commercial leader, that's really partnering with the CEO that was the founder of the business that we really like a lot. We've also given the CEO responsibility for our full identity and for our business, so he was running Kount, during the 2021, early this year. He's now got responsibility for the whole business, and we think it will have a big impact there and really drive the synergies going forward. So, we're quite bullish about their market position, their pipeline, but it really starts with a space that's very good. And we bought a very attractive business that we're making stronger.
Andrew Nicholas: That's helpful. Thank you. And then maybe a similar question on afterwards. I think, Mark, in your prepared remarks, you mentioned, new customer wins as being part of the growth driver in the first quarter. Same sort of question is, is that from Equifax relationships, or just the momentum of the business? And then maybe relatedly, are there any kind of big picture learnings from kind of having integrated that business, we're beginning to integrate that business over the past couple of months that you're already applying within the talent solutions market? Or Sure, the sectors in which it exists? Thank you.
Mark Begor: Yes, so great questions. First, on the Appriss business, another great business. I was there last week in Louisville, where they're headquartered with the team. We got a great leader there, and a great team, and the growth they're delivering is primarily from their own momentum. We only acquired them in October, so they're only a few months in. We're in the throes of integrating and bringing them into our technology and a cloud data fabric and the other elements on it. It's another space. So, they're winning new state contracts, they didn't have that were in their pipeline, when we acquired them, and just executing and the synergies that we're counting on, will really start kicking in the second half and '23, and probably likely into 2024. And we really liked the unique data. The criminal justice data that they have is very, very unique. And the instant decisioning from the talent space, plays in their world. And then, of course, in social services, it's also used. As part with regards to lessons learned, I sure wouldn't want to be doing these number of acquisitions if we weren't the cloud. It's -- it would be very hard to integrate these with the pace that we're going to be doing it. If we were still in our legacy environment, and that gives us a lot of confidence around doing acquisitions. And we're always learning about how we can do the integrations, more effectively, and -- but we've got some pretty good muscle around that, because it's not new for us. We've been doing acquisitions for a long time. Long before I joined 4 years ago, at Equifax, but we're getting better at it, I think and always looking to improve it. But the cloud gives us a lot of confidence, when doing M&A and I hope you agree that we're being very disciplined around the kind of businesses we want to buy. Our criteria and M&A is very clear. We want to grow, we want to buy businesses that are growing faster than Equifax. So, they're accretive to our growth rates.
Mark Begor: We want to buy businesses that are going to deliver margin accretion with Equifax. And most importantly, we want to buy businesses that strengthen the core of Equifax, whether it's around differentiated data, or around the Employer Services business as you point out. If you look at all of our acquisitions, they're checking those boxes. And then of course, identity and fraud, around Kount is just a space we'd like to get larger in and if you look at our acquisition so far this year, efficient higher, it makes us stronger in that. Employers Solutions space that, we want to be bigger in but also delivers more records to the Workforce Solutions businesses, they add new customers.
Andrew Nicholas: Very helpful. Thank you.
Operator: Thank you. Our next question is coming from George Mihalos from Cowen. Your line is now live.
George Mihalos: Great. Thanks for taking my questions, guys. Two quick ones. And I'll ask them upfront. Just first, a point of clarification, Mark and John on FMS. It sounds again, like it was just sort of a timing issue. You've got good visibility now in the second quarter. Your outlook has not changed at all for the year within that segment. And you maybe just kind of remind us how you're thinking about growth for FMS on a full year basis. And then secondarily, the $75 million of outperformance, if you will, from the core that's offsetting some of these mortgage headwinds, is that essentially all EWS and as you talked about some NPI benefits as well coming in, but is there any part of that outperformance that ties into USIS? And if so, what verticals or areas are performing ahead of your expectation? Thanks, guys.
Mark Begor: I'll do the second one, John and you could take the first one on FMS, which is an easy one, but under $75 million, the bulk of that for sure is Workforce Solutions. But International is also a piece of that. Internationals performing exceptional. USIS I think, is kind of aligned with where we started the year, we don't see any change. They're performing very, very well. The outperformance is a piece of that is from international, but the bulk is Workforce and it's all the levers we talked about on the call this morning.
John Gamble: And in terms of non-mortgage really in USIS and we still expect them to perform in 6% to 8%, right. So, we believe in total non-mortgage which is both the online and the FMS portions, should still deliver in that 6% to 8% range, George.
Operator: Thank you. Our next question is coming from Heather Balsky from Bank of America. Your line is now live.
Heather Balsky: Hi, thank you for taking my question. I'm just curious [indiscernible] EWS is easy taught you. You maintained your outlook for 30% outperformance versus the mortgage market. I'd love to get your thoughts in a sort of, I guess worse than expected mortgage market environment sort of your confidence in sort of that outperformance kind of why it's not one for one or and also your ability to take price and sell premium products in this type of environment. Thanks.
Mark Begor: Yes, there's a number of levers there on the drives the Workforce Solutions outperformance broadly in all their markets, but we'll focus your question on mortgage. So, start with records. We have pretty good visibility around our record growth in we talked about the fact that we were up 19 in the first quarter. We talked about -- we've got three now four larger payroll processors coming online in 2022. So, as you know, that record growth translates into higher hit rates and revenue. So, that's kind of a big piece of that. Second is price. We did our -- we do our pricing actions late in the year, they go into effect in January and their effect through the year. So, we know what our prices on a year-over-year basis. That's pretty well nailed down. The new product rollouts, you saw our momentum in Workforce Solutions with our mortgage products that we rolled out in 2021. Those were rolled out during the year. We get the full year benefit of those, many of them are rolled out in the third and fourth quarter. So, we have kind of visibility on the take rate and the usage of those because they're solving specific solutions. So, we have pretty good visibility around that. There's visibility around customer wins that we're bringing online. Remember, 60% of mortgages are still done in paper pay stubs. We have visibility around system-to-system integrations that we're working with customers that are not system-to-system, they're web based. There's another element of visibility, around that element. And then, we have trended data around how often the twin datasets being pulled? As you know that's increased in recent years to two polls. We don't see any change in that. So, that's kind of in the [indiscernible]. What did I miss John, as far as our visibility?
John Gamble: I think you've covered it right. Plus, the fact is we were down, market was down 25% in the first quarter. And they outperformed by approaching 30% or 27%, right. So, we feel like even in a down market, we've already seen similar to the down markets we saw late last year, they perform very, very well. We know it's much deeper as we go forward. But as Mark said, the big driver is records and penetration, which they continue to deliver on.
Heather Balsky: Great. Thank you. And as a follow-up on the integration, you mentioned how much of your revenue is coming from system-to-system integrations? I'm curious, sort of on a penetration basis in the mortgage business. Kind of where you are in a customer bases and where you think it can go.
Mark Begor: And that's -- your questions around what portion of our mortgage customers are in the cloud environment? I'm not sure I heard it, right.
Heather Balsky: Sorry, the system-to-system integrations that you talked.
Mark Begor: Yes, yes, sorry. Hey, Heather, I think actually what we're going to post the deck here in about an hour or two, and on that there'll be an update to that number. So great. Thank you. 11 o'clock. Sorry about that. Yes.
Heather Balsky: Thanks. Great.
Operator: Thank you. Our next question is coming from Jeff Meuler from Baird. Your line is now live.
Jeff Meuler: Yes, thank you. Just one for me. Want to see if you're willing to share any data around NPI uptake for clients that have completed their migration to your data cloud? It sounds like you have enough of the client base migrated at this point that we would start to have some data if that's seeing an explicit acceleration at NPI uptake or not. So, we'd love any data points on it. Thank you.
Mark Begor: That's a great question, Jeff. One that I don't have and John shaking his head also that he doesn't have, but it's one that I'm going to run down. I definitely want understand it. I think intuitively we find it there's some list there, but let us run it down.
John Gamble: And given that the percentage of products that we're delivering are substantially above half as we talked about that are running on the new cloud infrastructure. I would expect it's probably a pretty good number.
Jeff Meuler: Thank you.
Operator: Thank you. Our next question is coming from Shlomo Rosenbaum from Stifel. Your line is now live.
Shlomo Rosenbaum: Hi. Thank you very much for squeezing me in over here. Mark, you mentioned when there was a question about some of the levers in USIS to offset mortgage, one of the things you mentioned was price. I don't usually hear that too much in USIS. I hear that much more about, the work number and things like that. Is there -- is there a consistent pricing uplift every year, like you get in other parts of the market of your business? Or is there pushback from clients over there, maybe you can just kind of touch on that a little bit.
Mark Begor: I would say there's always pushback from clients when it comes to price. But we've been very clear, and we probably more often talk about price at Workforce Solutions, because they just have more pricing power. They're just more unique data asset than our -- than the credit file. But USIS, pretty regularly does price increases, meaning on an annual basis. And there's some element of price there, but it's not at the same scale, or leverages our workforce.
Shlomo Rosenbaum: Okay. So, there's consistent price lift, even though -- even on the basic credit file type stuff is what you're saying.
Mark Begor: In particularly a mortgage. Yes, that's a place where we have historically done kind of consistent price increases in USIS. In some of the other verticals, we may take price up, but then have concessions that happen. So, the pricing power is not as strong, in some of the other verticals.
Shlomo Rosenbaum: Got it. And then one of the things that this is kind of a competitive type question, but one of the things I have heard out in the market is that there's competitors trying to get in terms of building their own databases, excuse me for income information, but you are incenting clients to keep Equifax at the top of the waterfall. And I'm wondering, like, how do you go about doing that if someone else was coming in with a lower price point?
Mark Begor: Yes. Your question is more around customers versus obtaining records or is it both?
Shlomo Rosenbaum: No, it's really like -- if you have a customer that can potentially use a much less effective database, but at a much lower price point, right. So, the strategy from the competitor is to go ahead and say use us first and then if you can't get it at the lower price, then move on to Equifax. So, I've heard from some customers that Equifax is aware of that obviously has some kind of strategy where you can incent the customer to keep Equifax at the top of the waterfall and I was just wondering how that works.
Mark Begor: Yes, I guess, our view of the marketplace is that our solution in the verticals we participate in for income and employment data is, price competitively meaning there, there aren’t what we see in posted market prices, we don't see prices that are lower than Equifax. So, I don't think there's a price advantage there. What we do with some customers, when we tap top of waterfall, it's really to have them hit our database in a system-to-system basis versus doing manual efforts. So we've had some commercial incentives to move customers from doing manual searches around income and employment data to hit Equifax first. And part of that is, is that we've really had a very significant increase in our coverage over the last couple, 3 years. You go back, 3-years ago, we were below 50%. Now we're at 65%, approaching 70%. So, it was really more -- some commercial incentives to get customers to understand that they can get a hit very quickly from Equifax, but we haven't seen, what you described as, us having to commercially get in front of someone else who has a different solution to Equifax.
Operator: Okay.
John Gamble: Because there really aren't any other solutions at scale.
John Gamble: Right now, I mean, pre-realistic [multiple speakers]. I know they're small, but I mean, some of those, that's what I was talking about -- some of them being out there. And they are very small, but that's how they're trying to get tested into the marketplace. And so, I was wondering about that.
Mark Begor: And again, we haven't seen any commercial pressure from that. They're very, very small. And it would surprise us that a customer would want to change a waterfall, [indiscernible] the system effort involved in the very low hit rates, and again, there's not a pricing advantage or cost advantage for [indiscernible].
Shlomo Rosenbaum: Okay, great. Thank you very much.
Operator: Thank you. Our next question is coming from Faiza Alwy from Deutsche Bank. Your line is now live.
Faiza Alwy: Great. Thank you and good morning. I just, I know we've covered a lot of ground. But I just wanted to ask about EWS EBITDA margins, because just given the strong growth that you're seeing on the top line, I would have expected a little bit more flow through on the margin side. And I know you've talked about acquisitions, but I was hoping for a bit more color, maybe you can give us what organic margins were in that business, or if there's like a mix impact as it relates to various verticals, like are the new products at a lower margin. Just a little bit more color around how we should think about the drivers of margins there.
John Gamble: Yes, so we had really nice margin improvement, right, from fourth to first. And we are and we are certainly incurring some of the impact from the recent acquisitions, which the acquired businesses generally just want to have margins that are as accretive as ours. So, you are seeing that in the first quarter. We don't really disclose an inorganic and organic EBITDA margin, but we feel very good about almost 55% margins that we're seeing. And we think it's really an outstanding performance, we indicated. I think we expect them to be 54% for the full year. So, we feel very good about the trend in EWS margins, and obviously they are investing in new products to drive faster growth. So, we certainly encourage that. But we think operating at this range of 54% to 55% margins is outstanding.
Faiza Alwy: Okay. So, there's no mix impacts that we should think about by vertical or product?
John Gamble: We certainly have different margin levels for different products. Generally speaking, most of the Verifier products have relatively similar margins. There are different margin profiles between Verifier and Employer. But again -- I think generally speaking, 54% to 55% margins very, very strong. We feel very good about them.
Faiza Alwy: Understood. Thank you.
Operator: Thank you. We reached the end of our question-and-answer session. I'd like to turn the floor back over to management for any further closing comments.
Mark Begor: We just wanted to thank everyone for participating. If you have more questions, please reach out to Investor Relations.
John Gamble: Thanks very much.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.